Operator: Good Morning, ladies and gentlemen, and welcome to a conference call on GDF SUEZ results on September 30, 2014 organized by GDF SUEZ along with Gerard Mestrallet, Chairman and Chief Executive Officer of GDF SUEZ and Isabelle Kocher, Deputy Chief Executive Officer and Chief Operating Officer. For your information, this conference is being recorded. Thank you for holding. Mr. Mestrallet, I now hand over to you.
Gerard Mestrallet: Thank you very much. Good morning, ladies and gentlemen. I’m pleased to hold this conference call with you today to present our results as of the end of September, along with Isabelle Kocher and our two Deputy CFOs, Pierre Chareyre and Valéry Perrier. I’m glad to welcome Isabelle in a new function as a Director, Deputy Chief Executive and Chief Operating Officer. Pierre Bassat [ph], Former Head of Energy International is now heading the Energy Europe business line. First, what are the key takeaways of this period? The first key message, we are pursuing the implementation of our strategy. A series of successful developments, both in the fast growing markets and in Europe were realized during the third quarter of 2014. We leverage on our stronghold and expertise in Europe to be a leader in the energy transition. Second message, organic performance under third quarter shows improvements of all our business lines except for Energy Europe. At end September, our results are still affected by a few but significant unfavorable one-off effects. The exceptional weather conditions in France, mainly in H1, the adverse hydrology in Latin America and the ongoing outages of three nuclear plants – Doel 3, Tihange 2 since the end of March and Doel 4 since early August. As expected, the pressure on the merchant activity in Europe and the adverse foreign currency movements versus euro also weighed on the results. However, these unfavorable effects are being mitigated by the international activities and the ongoing recoup of the draft impact in Brazil by the growth of Global Gas & LNG infrastructures and services along with our performance plan. During the third quarter, excluding the Energy Europe business line, we have posted a strong organic growth of plus 15% at the COI level. Third key message, the cash flow generation remains solid. Cash generation maintained its strong profile at end September with our CFFO stable year-on-year at EUR6.9 billion despite the significant decrease of the EBITDA on the same period. Our net debt stands now at EUR26.8 billion, EUR2.5 billion less than at the end of 2013. We continue to actively manage our balance sheet and to improve our cost of gross debt. It now stands at 3.15% versus 3.23% at end H1. Last key message, we are confident in our ability to deliver all our full year targets. As you know, our strategy is based on two pillars, we are on Page 3 – be the benchmark energy player in the fast growing countries and be the leader in the energy transition in Europe. On the third quarter, we have pursued the implementation of our strategy and I will go over some examples of the Page 3. In fast growing markets, their financial close has been reached for the Safi power plants in Morocco, 1,400 megawatts and the Mirfa in the Emirates, 1,600 megawatts. Moreover, we have now 16 turbines producing under Jirau hydro plants in Brazil. Finally, also we took the FID, Final Investment Decision, on our Cameron LNG brownfield project in partnership with Mitsui, Mitsubishi, and Sempra. It is the second gas export unit in the USA to date. I would like to add a recent promising success with the signature of a strategic partnership with Chinergy to develop cooperation in energy sector, joint exploration and sharing the development opportunities in Shanghai, after the ones we have found in Beijing in 2014 and Chongqing in 2011. We want to become the energy partner of the three largest towns of China, which altogether represents 70 million people. As regards to the energy transition, we reinforced our strong competitive positioning in the energy service business by acquiring Lahmeyer, a leading international engineering company with around 80% of its revenues outside of Europe. With regards to new businesses, we have launched the construction of the first French geothermal marine plant in Marseille. And we have invested in Powerdale, a startup dedicated to energy monitoring and mobility. Let’s now have a look at the key figures on Page 4. As you see, revenues reached EUR54.5 billion at end September. EBITDA reached EUR8.9 billion. The COI stood at EUR5.4 billion, down organically 2.5% excluding the weather effects in France and the gas tariff recoup booked in 2013. Since the beginning of the year, as you are aware of, we have been significantly affected by nuclear outages. Yet, excluding Energy Europe business line, COI has reached an organic increase of plus 2.1% for nine months. Net CapEx reached EUR3.1 billion over the period, while net debt stood at EUR26.8 billion. At this stage, we have not announced any important M&A since the beginning of the year besides within the service activity. I am confident on achieving our M&A targets over the three years period thanks to the significant pipeline we are screening. On the disposal side, we are on track. The full set of figures is in line with our expectations and enables us to confirm our full year guidance and I will come back on this later on. Isabelle, I hand over.
Isabelle Kocher: Thank you, Gérard, and good morning everybody. First of all I’d like to tell you that I’m very motivated in embarking in my new functions as Deputy CEO and COO of the group and the new responsibilities, Gérard. You all can count on my full commitment to help the group in reaching its objectives and implementing the ambitious development we have decided to implement. Let’s move on to the results and for the review of the business performance, I will start by commenting our revenue evolution. I’m on Slide 5. So reviews reached EUR54.5 million at end of September ‘14, down by EUR4.4 billion versus end of September of last year. As you can see on the slide, three main drivers explain this trend. First, the strengthening of the euro against all major currencies representing minus EUR0.5 billion. This was, in fact, stable, by the way, versus H1 and we anticipate that the recent devaluation of the euro could become the tailwind during Q4. With respect to the scope-out, the impact is around minus EUR0.5 billion for the biggest part in the Energy International business line and impacted mainly U.S. thermal assets and Portugal disposed in 2013. Second, in Energy Europe, revenues decreased substantially year-on-year by EUR5.5 billion, mainly driven by three elements. First, highly contrasted weather conditions in France with warm weather at end of September ‘14 minus 11 TWh; that is to say in fact a swing of around minus 33 TWh compared to last year. This effect was already significantly recorded at end of H1 as the weather impact in Q3 has been neutral. Second element, the one-off impact of last year’s gas tariff recoup in Q1 of EUR150 million. And third, the continuous impact of tough market conditions for merchant activities on prices and volumes, both in France and in Belgium. And finally, third main point of this Q3 results, the four other business lines posted a strong plus 5% organic increase in revenues; that is to say for EUR1.3billion. Energy International is up by EUR100 million despite a difficult U.K. market context. The growth is driven by higher prices in North and Latin America and the commissioning of new plants in Latin America and in Middle East and Africa. Global Gas & LNG increased by EUR1 billion, backed by a strong level of diversions with another nine LNG cargos diverted, that is plus 41 compared to end September ‘13, not only [ph] to Asia and to Europe. And thanks to the GTT change in consolidation method. There was also growth for the infrastructure division for EUR400 million despite unfavorable weather impact. This is the effect of higher sales to third parties, increased tariffs [ph] and the start of commercial operations for storage capacities in Germany. And finally, there is a strong increase in revenues for energy services of EUR700 million. This increase results mainly from the acquisitions of Balfour Beatty WorkPlace and Ecova in the U.S. and also organic development. The growth of installations activities in France, in Benelux and in Germany offsets the unfavorable effects we experienced over H1; that is to say those of the warm weather and the last impacts of the expiration of cogeneration contracts. Let’s now focus on the current operating income on Slide 6. First of all, we recorded minus EUR200 million in scope-out and another minus EUR200 million impact due to forex. We have recorded as of end September ‘14 three major unfavorable effects. First, minus EUR0.7 billion from weather in France mainly in H1; and the impact of the gas tariff recoup we booked in Q1 ‘13. Second, the outages of three nuclear reactors in ‘14 – Doel 3 and Tihange 2 since end of March and Doel 4 since early August to be compared with five months of outages in ‘13 for Doels 3 and 4, Tihange 2. And third, an additional exceptional hydro effect in LATAM of minus EUR250 million, improving nevertheless and as expected versus end of H1. Besides, it’s worth reminding that we benefit this year from two positive trends at the inner [ph] level for Energy Europe and for E&P activities. Thus, at end of September, COI is up by plus 2% year-on-year without Energy Europe notably due to a strong performance recorded in Q3 specifically. Let me now focus on the key operational drivers and the specific trends recorded on this third quarter. I am on Slide 7. On the third quarter, the analysis of organic performance shows strong improvement compared to H1 for all business lines except for Energy Europe. Indeed, on this perimeter, COI organic growth is plus 15% on Q3 year on year. This is mainly driven by, for Energy International, partial recovery of H1 adverse LATAM hydrology effects for around EUR50 million. For Global Gas & LNG, very strong LNG diversions and growth in E&P production. Q4 will further benefit from 14 new commissioning and Europe [ph] restart, enabling us to reach our stated ‘14 objectives of 55 million barrel oil equivalents. Growth in regulated infrastructures and an improvement on our gas storage activity, too. And for energy services, back to organic growth, thanks to the end of cogeneration tariffs impact. As regard the Energy Europe business line now, we suffered from the already mentioned pressure on power and gas margins and ‘14 unexpected nuclear outages. It is also worth mentioning that Q3 ‘14 suffered from an unfavorable year-on-year timing effect in gas price revisions for long-term contract and we will book by the end of the year the effect of new prices revisions. Despite all the headwinds year-to-date, we reiterate our full year indications and guidance which are, I remind you, at average weather conditions in France. We expect to reach the low end of the ranges for EBITDA and for current operating income, respectively, at EUR12.3 million, EUR13.3 million and EUR7.2 million, EUR8.2 million. We expect to land in the mid-range of the adjusted guidance for the net recurring income group share which takes into account the outages of Doel 3 and of Tihange 2 in H2. And now, let me hand over to Gerard.
Gerard Mestrallet: Thank you, Isabelle. A few words now to conclude. The group continues to implement its strategy to secure growth over the coming years while maintaining the strict selectiveness criteria. Besides from the Energy Europe business line, which suffers from already identified merchant pressures and Belgian outages, the third quarter performance shows a strong improvement compared to H1. For the full year 2014, we confirm our full-year target as already stated by Isabelle. In addition, I reiterate our dividend policy with a minimum of EUR1 per share in any circumstances and a 65% to 75% payout applied on the net recurring income group share. An interim dividend of EUR0.50 representing EUR1.2 billion has already been paid in October 2014. Thank you, and now, with my colleagues, we are ready to answer your questions.
Operator: [Operator Instructions] We will now take our first question from Nathalie Casali of JPMorgan. Please go ahead.
Nathalie Casali – JPMorgan: Hi, good morning. I have three questions. The first one is on the Belgian lines extensions. I think the new government has said that it would look to make a decision on these before the end of the year. Could you give us an update on the progress of negotiations? The second one is on 2015, and I appreciate you’re not yet giving guidance, but the question would be are you broadly comfortable with what consensus is looking for which is about EUR13 billion EBITDA and net income of about EUR3.7 billion on your definition? And the last question is, are you planning to announce a new CFO, and if so, when, and are you looking at external and internal candidates or just internal? Thank you.
Gerard Mestrallet: Okay. On the first question about the possible extension of Doel 1, Doel 2, it’s true that the government – the new government and the new energy minister has announced his willingness to finalize his position by the end of the year. We have a stocked [ph] discussions. Discussions are conducted in a very positive manner. As you know, the new coalition in Belgium is composed of parties which in totality are in favor of nuclear, so this factor and the consideration of the risk of the – on the security of supply in electricity in Belgium this winter creates good conditions for all discussions. Now, they have just started. It is difficult, of course, to anticipate what could be the final outcome of the discussions. It is clear that for us we want to discuss, on the one hand, the CapEx, the investment that we will have to make in Belgium in order to find the extension of Doel 1, Doel 2. And on the other hand, the discussions on the nuclear tax, in order to make any investment of that kind profitable under all our criteria. And so the discussions are going on. On 2015, we cannot say anything, to answer your second question. And on the third question, we have, as you imagine, introduced a professional process to select the next CFOs. Of course, we are not in a hurry because we have here two deputy CFOs with us. And the process will integrate internal and external candidates.
Nathalie Casali – JPMorgan: Thank you.
Gerard Mestrallet: It would take, I would say, some months.
Nathalie Casali – JPMorgan: Thank you.
Operator: We will now take our next question from Cosma Panzacchi of Sanford Bernstein. Please go ahead.
Cosma Panzacchi – Sanford Bernstein: Hi, good morning, and thank you for taking my question. I have three questions here. The first one is on Energy Europe, and in particular, on gas sales. Could you actually update us a little bit on the competitive landscape in France and Belgium, and in particular, after the decision on your appeal against the competition authority, how the opening of the data in France will impact, if anything, the dynamics of sales in France? And in Belgium, as the market share, if we understand correctly, is still being eroded, do you see the price war going there stopping anytime soon? The second question is on Energy International. We have appreciated the good results of Tractebel Energia and we would like to get your point of view on the recent proposal of the Anela [ph] regulator to introduce a much lower cap on the PLD prices. Is that a risk going forward for Tractebel Energia and its potential? And finally, on Global Gas & LNG, could you please comment on the current dynamics of oil prices? And in particular, are the current dynamics changing in any way your view on this part of your business and on potential inorganic options going forward? Thank you very much.
Gerard Mestrallet: Okay. First, the first question was on the competitive landscape in France and Belgium. It’s clear that we have not been pleased by the decision of the competition authority to open the data to our competitors. We have made, called an appeal against the first decision. We lost. So we will implement the decisions. We, of course, we will ask a symmetric [ph] move for the power customers from EDF [ph]. We want to be put in the same situation, notably because we consider that the competition is more – the market is more open for the gas market rather than the electricity market. Nevertheless, this will stimulate our marketing and sales people, and so we will react and, of course, make all our best to minimize the consequences of this decision. In Belgium, what are our market share? LNG gas, 45%, and in electricity, 50%, and there is no new erosion of this percentage over the last 18 months, so it’s now stabilized. You had also a question on Brazil. Isabelle, you want to answer on Brazil?
Isabelle Kocher: Yes. A few words about Brazil just to highlight the fact that you’re right, the hydro conditions are key for us, and by the way, are key for the sector as a whole. What helps [ph] Tractebel Energia to manage its performance in these conditions is the fact that Tractebel Energia is also involved in fuel [ph] capacities which are not contracted and it is, for us, a big competitive advantage compared to Albia [ph], so we expect the decisions for – from the Anela [ph], expect it soon, even if we have no specific date for the moment, but we are confident.
Gerard Mestrallet: For your third question about – on the Global Gas business, what is the impact on the drop of 25% roughly off the oil price both Brent or WTI? On the full year 2015, there is an impact of roughly those prices, EUR200 million in EBITDA, that’s around zero on the net recurring income because of the fact that those activities are highly taxed locally on the upstream. Of course, we will continue to permanently review opportunities in that sector like in other sectors, and perhaps that the drop in oil prices will increase the number of opportunities, that’s a possibility. And the target that we would analyze would not only have to respect our criteria but also to be in harmony with our strategy which is for the E&P activity to comport [ph] our natural gas and LNG chain. This is the most important criteria that we are using for this activity.
Cosma Panzacchi – Sanford Bernstein: Thank you very much.
Isabelle Kocher: Maybe an additional word on oil exposure, it’s worth mentioning that we are not as the [ph] big oil companies in terms of oil exposure since, yes, we are long for our E&P activities but we are short for other activities we have in our group and especially for energy since we buy the LNG at prices which are partially linked to oil and we resell it at – on gas markets. Then, effectively, globally, we are low at the EBITDA level, but not a lot. And secondly, we are effectively neutral at net recurring income group share.
Operator: We will now take our next question from Martin Young of RBC. Please go ahead.
Martin Young – RBC: Hi. Good morning to everybody. If I may have free questions as well, please. Firstly, could you update us on the state of play with the Belgium nuclear reactors that are on traction. I appreciate that the Doel 4 is likely to come back on that by the end of the year. But in respect to the other two, what is the timeline going forward and what’s your best expectation today of the date to which these plants will return to service? The second question relates to the energy market in Europe. I just wonder what your view around the outlook of price development is and when you think prices will bottom. And then my third question, it’s a simple one, relates to the 2014 guidance for EBITDA. I appreciate that you have given your guidance before weather conditions are taken into account. But if we take the lower end of the range and subtract, I guess something less than the EUR550 million that is being incurred that hit so far in respect to weather because of the fourth quarter of last year, if I recall rightly, was a warm quarter. So let’s say about EUR400 million weather impact for the full year, should we be thinking about an EBITDA reported somewhere safe of EUR12 billion and therefore a little bit below what consensus is currently predicting? Thank you.
Gerard Mestrallet: Okay. We will try to share the answers with Isabelle. First, update on our nuclear reactors in Belgium, for the three reactors which are stopped now. So first, you are right that for Doel 4, we are very confident to restart Doel 4 by the end of the year. For the two others, Doel 3 and Tihange 2, our teams are very confident to deliver the final report for their nuclear agency – nuclear control agency at the beginning of December this year. And you remind that last time it took around two months to the agency to take the final green light. So we can anticipate a restart at the end of the winter time. Our teams – our engineers look confident. They have done an immense work, job with lots of consultants, experts – international experts. And they are confident. But they are specialists, I am not. I hope they are right. Isabelle, on the guidance?
Isabelle Kocher: On the guidance, if I start from the guidance we gave at the beginning of the year, that is, to say, between 12.3 and 13.3. I’m speaking about EBITDA of course. So if you have in mind midrange, that is to say 12.8, if we take it into account the nuclear outages which accounts for roughly EUR500 million, if you take it into account the draught we suffered in Brazil, we should take it into account also positive impact, that is to say, on gas storage, in particular, better level of reservations than expected plus a slight improvement on forex. All in all, you are at the bottom of the range, that is to say, at 12.3. And it is without taking into account the impact of the weather. So you have well understood, with the impact of the weather, which is, for the moment, roughly EUR200 million will be below 12.3. But we always said that the range for the guidance was at average weather conditions because by definition it is something that we cannot forecast.
Martin Young – RBC: And what – did you say 200 or 300 for the weather?
Operator: We will take our next question from Michel Debs of Credit Suisse. Please, go ahead.
Michel Debs – Credit Suisse: Good morning, ladies and gentlemen. I have two questions. The first one is on cash generation. You have reported for the reasons you have explained, pressures on your EBITDA. But at the same time your CFFO –
Gerard Mestrallet: My microphone was not open. So answering the second question on the prices in the energy markets –
Michel Debs – Credit Suisse: No problem.
Gerard Mestrallet: – in Europe. Since the beginning of the year, we see that the prices in France, which are stable. In Belgium, prices are relatively high, of course because of the outages. And then in Germany, they have continued to decline and slightly siding prices. So what are the main factors for the – to anticipate the future prices? Of course, some growth would help. Some economic growth in the GDP would help a little bit to support the prices. As you see – as you know, the growth is moderate, if any. The second factor is the rebalancing between the capacities at the level of magnet group [ph] which gathers most important private utilities in Europe. We have altogether decided to close down our [indiscernible] 70 gigawatts. Now we have made the account when it was 50 six months ago. So we continue to take collectively strong decisions. Of course, in front of that, we continue to have additional renewable capacities which are open, but at a different and more moderate pace and the decisions which have been taken by the European Council at the summit in October approving the whole package – energy and climate package, designed by the commission in January to which we have been working very closely at the magnet group [ph]. Those decisions are good, satisfactory, and they are pushing the market and the renewables to their lot at a more sustainable pace. The last factor is the CO2 – the CO2 factor. Of course, a better CO2 price would help to support wholesale market price for electricity in Europe. The decisions which have been taken in the same package, in the European package are very good in principle with an objective target of reducing by 40%, the CO2 emissions at the horizon for ‘20, ‘30 so it’s a long time ago – a long time from now. And the decision to create a market stability reserve which is a kind of central bank for the certificates to regulate the market and adjust automatically the number of certificates for the year on the European GDP growth is a very good decision, a very good decision. We had proposed that to the European Commission and they have accepted. And unfortunately, this creation will happen after 2020. And we are now strongly asking for an immediate creation of the market stability reserve and the absorption of the oldest certificates backloaded into the market stability reserve in order to have an immediate impact on CO2 price. So in one word, decisions are good but the FX are not enough, strong immediately. And we are continuing – continue to push for the – for improvement in the measures in order to have an immediate impact. So we do not anticipate significant changes in the prices in the fourth term. Nevertheless, we are buttoning up that sphere in Europe. And as you know, because of our hedging, these will have a new progressive fate on the world accounts. Next question?
Operator: We will now take our next question from Emmanuel Turpin of Morgan Stanley. Please go ahead.
Emmanuel Turpin – Morgan Stanley: Thank you very much. Two questions please on Belgium. First of all, small detail for the couple of months at the start of next year when Doel 3 and Tihange 2 would still be out of production. Should we use the same rule of thumb in terms of earnings shortfall as you did for this year? Are you about EUR40 million per month? On a more structural basis still in Belgium, the new Belgium Coalition published its energy policy paper with the plan to put in place a framework to incentivize investment in basal [ph] power that want a stable rule [ph]. And essentially, there won’t be generators in Belgium to help resolve the power shortfall. You said you were in negotiation on Doel 1 and 2 for an extension. Could you please share with us, maybe whether your discussions of the government will look at improving the overall framework? Including, potentially, converting this nuclear tax which you’ve repeatedly said was unfair into a more stable, maybe profit-sharing framework. Or at this stage, are you only focusing on the negotiations on Doel 1 and 2? Thank you.
Gerard Mestrallet: Okay. Isabelle will take the first one and I will take the second one.
Isabelle Kocher: As for as the impact of outages for the first month of ‘15 are our concern. You can keep in mind the same amount in fact. Because we are speaking about months during the winter, so they are important for our plants. But at the same time, we expected level of margins which were a little bit lower, things that we absorbed progressively the price decrease on the market. So all in all, EUR40 million spent for the two plants is a good figure.
Gerard Mestrallet: [Indiscernible] negotiations with the new government – the new creation there, in them. In their paper, they say that they wanted to be in a position to decide on the extension of Doel 1, Doel 2 by the end of this year. They already mentioned. It’s clear that on our side, we are putting the whole question of nuclear tax on the table because we consider that an arrangement only limited to Doel 1 and Doel 2 on the tax and the exemption of tax and a profit sharing only on Doel 1, Doel 2 will not be enough to justify the CapEx and the investment to be done on Doel 1, Doel 2 and would not fit with our investments profitability that we are looking for. So we are putting on the table the totality of the question of the tax. We don’t know what will be the final result of the discussion. And you mentioned also the plan of the government to put in place a framework to incentivize investments in power generation. So far, I’m not sure that there will be lots of candidates to invest in thermal power generation in Belgium especially at the moment where there are so many brand new plants which have been most bold. And supporting them should be the priority instead of trying to incentivize brand new construction. Next question?
Operator: We will now take our next question from Alberto Gandolfi of UBS. Please go ahead.
Alberto Gandolfi – UBS: Hi, good morning. It’s Alberto Gandolfi of UBS. Thanks for taking the questions. The first one is, again, going back to this issue of nuclear, can you please be a bit more explicit on what conditions you would require when negotiating life extension. Is it really a drop of the levy altogether and limited profit sharing? Can you also give us an update where you stand on the parallel chart [ph] court cases on the nuclear life in Belgium. Secondly, could you talk about with your outlook in the gas and LNG division, the oil prices have come down and there’s quite a lot of supplies coming during 2015-2018 in LNG. So what’s your strategy trying to mitigate the likely shrinkage in margins in the LNG trading activity? And last one is a bit more of a concept question medium term. I understand the normalization in weather and the high levels in Brazil and nuclear production in Belgium should imply a major rebound in profits in 2015. But in terms of sustainable growth, how do you weigh the headwinds you also face from the ‘16, ‘17 review in gas T&D in France, the fact that power prices in margins in Energy Europe continue to be under pressures and the commodities are in backwardation. So can you please elaborate on your ability to deliver growth without implementing any M&A? Thank you.
Gerard Mestrallet: Okay. First of all, on the first question, we consider that the negotiations on the extension of Tihange 1 is a good model. It’s a good model with the exemption of any tax, plus the profit sharing above a certain level. This is the good model. We consider that for the extension of Doel 1 and Doel 2, we have to try to apply the same model, but not exclusively to Doel 1 and Doel 2 because there are small plants and we would like to review on a more broader scope the system. And in fact, we want to discuss the totality of the tax system with the government which is a unique opportunity for us to do that. At the same time, we have introduced an appeal to the European commission for the past taxes with the government, the present government, we are speaking and discussing the future taxes. But for the past taxes that we have already paid, we have introduced an action to the European commission because as you know, there is a precedent, which is a precedent of Fortum from Finland. They were on the same situation. They had nuclear activities which had been taxed by the Finnish government. And the action of executive commission was successful and they have explained that by taxing only the nuclear operators, it was in fact a state aid for all the others – the non-nuclear players. And we are exactly in the same case in Belgium. So we have introduced the case – the file. And we of course, we will [indiscernible] our situation and the commission. So this is for the past. And the discussion introduced with the government is for the future and we tried to extend the same mechanisms in Tihange 1 for all our units. Isabelle?
Isabelle Kocher: On the LNG activities, yes, of course we – you have a right we say for months in fact that the level of margins we got with these activities in 2012 and especially 2013 was exceptionally high and we say for months that we expect to go back to more normal I would say level of margins. It is a cyclical activity in fact, depending on the base of commissioning of liquefaction facilities. And we expect with the commissioning of a lot of liquefaction vessels facilities in Australia in particular, we expect a pressure on prices. So it is something we anticipate. And it is something we will manage also diversifying the way we manage this activity, the Cameron project is for us a way to back our margins for very long period of time since we will contract for 20 years the volumes we will say in particular to Asia. So it is something which is included in the way we gave our rate of growth for the future. Now for the medium terms prospective more globally at group levels, so it’s – we will tally [ph] as you know, and we will give you the full update and a very specific one at the beginning of next year. Let’s just say that we continue to see three very contrasted dynamics in our group. First of all, for merchant activities in Europe, we continue to expect a decrease even at average weather conditions because we will absorb – we will continue to absorb the decrease of prices. We are far in our achieved price from the level of market prices, power market prices. So we will continue to absorb it. It is for energy merchant activities in Europe. We have infrastructure businesses, very good level of confidence in the dynamic to come. Yes, we’ll open a negotiation for the periods to come. This negotiation will come – we will start in ‘15 for new conditions for the period ‘17-’21 and ‘16-’20 for transportation. But we are not worried about that. What we feel is that the regulator is pushy to lead us to continue to invest in this market. And the third kind of dynamic, what we call our core growth platforms. You mentioned M&A, so I’ll remind you that M&A is fully embedded in the pace of growth we mentioned. As you have seen for the moment, we have not made a lot of operations. It is a choice we made. We are not in a hurry. We consider this M&A program as a three years program. And well, we do prefer to be extremely specific and extremely demanding.
Gerard Mestrallet: Next question.
Operator: We will take our next question from Michel Debs of Credit Suisse. Please go ahead.
Michel Debs – Credit Suisse: Good morning, I have two questions, please. The first one is about cash generation. You have posted a flat CFFO compared to the same period last year despite a drop in your EBITDA. Could you please help us bridge the two numbers and explain to us how come your cash flows are debt resilient despite pressures in your EBITDA? And the second question is about your corporate structure and the way you let investors access your portfolio of assets. Do you believe that you currently have the optimal structure? If yes, why so? And if not, what changes could we start thinking about to maybe increase or unlock some of the value in the group? Thank you.
Gerard Mestrallet: Okay. First, Isabelle will answer to the CFFO. It’s a good news that the group is able to generate a stable CFFO in spite of everything, in spite of every one off adverse effect. And this was the case also for last year. That’s the case for the H1. It’s once more the case for the nine months. Isabelle?
Isabelle Kocher: Well, just a few words. It was already case for H1 effectively. So we managed to compensate the drop in EBITDA by a strong improvement of working capital requirement. It is partly due to our efforts to manage the way we – operationally I mean, this working capital requirement. It is also linked to a climate effect because with a hot climate, we have less receivables, of course. And then it is also due to the margin cost which have been very positive for the group globally.
Gerard Mestrallet: So far we have on Alberta [ph] we’re a corporate structure. So far, we have no intention to turn significantly our corporate structure. We are permanently optimizing this structure. Today, the structure is very simple. We have five branches that we own at 100%, each of them. And it is a deliverer [ph] for us on BUs [ph] of projects that we are looking for partners for when it is useful for the business. For example, when we want to penetrate a new country – that was the case recently in Mongolia, we have been the first independent power producer in Mongolia. We have created a consortium where we a leader with one Korean, one Japanese and one Mongolian partner. So we have this philosophy being an industrial group, we want to exercise our industrial role as operator. And so for that, we need to have 100% of our five – each of our five branch, but at the lever of the individual projects or sometimes individual builders units as it is the case for exploration tradition where we have the Chinese investment corporation as partner. We are making the best choice for the group. So no big change to come. But a permanent optimization of the structure.
Michel Debs – Credit Suisse: Thank you.
Gerard Mestrallet: Next question.
Operator: We will now take our next question from Benjamin Leyre of Exane. Please go ahead.
Benjamin Leyre – Exane BNP Paribas: Yes, thank you and good morning. Just a couple of questions on upstream please, I wonder if you still have remained to reach a 60 – I mean on both total equivalent in 2015 in upstream? And on medium term, if you can update us to what project in Algeria if is still on time and on budget. Thank you.
Isabelle Kocher: Yes, we absolutely confirm those. The level of production for ‘14 which was 55 million barrel oil equivalent and 64 million barrel oil equivalent for ‘15 since as you know we commissioned significant fields at the beginning of this year. And they will progressively increase their level of productions. So yes, we confirm these trends.
Gerard Mestrallet: For the Touat project, we have met some delays last year. Now since the beginning of the year, it is on track. And there is no special difficulty on the project today.
Benjamin Leyre – Exane BNP Paribas: Thank you.
Gerard Mestrallet: Next question.
Operator: We will now take our last question from Vincent Ayral of Societe Generale.
Vincent Ayral – Societe Generale: Good morning, everyone. And just coming back quickly first on the [indiscernible] and the guidance and it seems to be pretty much in line with what we would have expected after you said that we have to correct for the nuclear outages. I just wanted to check first on 2014 issue we’re indeed happy [ph] with the constants as where it [ph] stands, it is about EUR12.3 billion on EBITDA and about EUR3.1 billion on net income. And do we have to get any read across for 2015 from this set of results? I do not see material ones above from for example, the E&P which impacts the EBITDA but not the net income. Also, I know you do not comment 2015, I just like to make sure I understood these basic points correctly. Second, to get out of the numbers, it’s on the Belgium nuclear. You are saying that alongside the life extension you tried to renegotiate on the whole fleet. And you’re looking at potentially hopefully extending the agreement chart on Tihange 1. This is in itself is sort of semi-regulated type of arrangement. Could it be possible to have like a proper reregulation of the Belgium nuclear feat? I’m talking about something which would be a rub base pointy [ph] thing but where we have I would say less risk on the investor side. Thank you very much.
Gerard Mestrallet: I will take the second question and also we’ll let Isabelle for the first one. On the Belgium nuclear, it’s really an evolution which in fact is not so surprising because the nature of the investment in nuclear today, that’s obviously the case for the new build, but also for the investment necessary for the extension of nuclear. Those investments need sufficient visibility to be done. And so in order to get sufficient visibility, the government are in a certain way establish new rules. And to satisfy the stability, sub-stability [ph] to the operators and investors. And so it’s true that the regime we are trying to negotiate is a kind of semi-regulated system for all the nuclear plants because we are trying to put in place a system where there would be a minimum rumination for the new investment necessary for the extension, profit sharing [indiscernible] which come to a viable tax in fact, viable tax. We will see if there is a necessity to have a minimum or not. Of course, that will not be our position. But maybe at a certain stage, compromise. But it is – for me, it’s not surprising that nuclear – the nuclear activity even in Europe where the markets are supposed to be normalized [ph], nuclear pollution has to be in a certain manner, has to be regulated, semi-regulated or even more. Isabelle?
Isabelle Kocher: On figure, I’m afraid that about ‘15, I’m not able to say a lot of things. Again, it’s a little bit early. But I will go back maybe on ‘14 because I understand that your question is also on ‘14. So on ‘14, I repeat that for EBITDA, we will be at the low end of the range that is to say, it was 0.3. But at average climate conditions and as I say it’s climate again for roughly EUR200 million for the moment at least. And for net recurring income group share, we will be at the middle of the range. So it’s better than EBITDA level at the end because we benefited from higher than expected improvement of financial cost in particular. And this element compensate roughly the exceptional elements we suffered from at the EBITDA level. So medium of the range, but again, average weather conditions. So if I do the math, the range is with Doel 3 and Tihange 2 out by the end – until the end of the year, 3.1 to 3.5. So middle of the range, so middle of the range it means 3.3. And the weight of weather is at net income a little bit less than EUR100 million. So I believe that with these elements you have all the necessary indications.
Gerard Mestrallet: Okay. I understand that it was the last question. So I would like to thank you for your attention. And I am pleased to inform you that we will hold automatic [ph] workshop morning in London in January 7th. And this workshop will be focused on the group’s activities and perspective in Africa, Middle East and Asia. Then we will publish our full year 2014 results on February 26. Okay. Thank you and I wish you a pleasant day. Bye-bye.
Operator: Ladies and gentlemen, this concludes this conference call. Thank you for participating. You may now disconnect.